Peter Brooks-Johnson: Welcome to the presentation of Rightmove's Results for the First Half of 2022. My name is Peter Brooks-Johnson, and I'm joined by Alison Dolan, our CFO. I'm going to talk through the highlights of the last six months. Alison is going to go through the more detailed financials, and then I'm going to spend some time giving you a little more color on the housing market and our strategic developments. Our results in the first half, again demonstrate the strength of our model in all markets. Continuing the momentum of the second half of last year, we've seen a record overall growth in ARPA of £127 since June 2021. This has been driven by mix of price and product upgrades. We've returned to a more normal pattern of pricing activity this year with most of our pricing activity in the first half. Even with this caveat, it's a fantastic result with ARPA already up £101 since December. The innovation of the last two years is helping drive ARPA growth to higher levels. And Alison will give you more detail on that ARPA growth in a moment. Growth in agents who do sales was offset by falls in agents who only do lettings and the continued supply and demand imbalance for New Homes developers which has led to a 1% drop in total advertiser numbers. Combined with the ARPA, this has led to a 9% revenue growth over the same period in 2021. The increase in cost is a result of our success in catch-up recruiting in the second half of last year. And for clarity, we've excluded the impact of the 2021 release of the contingent consideration for Van Mildert to show the adjusted underlying operating profit. In the first half of 2022, we've continued to see a healthy housing market with signs that it's easing back towards a more normal cadence. Reflecting this, site traffic is down on 2021 as expected, but it's still 34% higher than 2019. Consistent with our long established progressive dividend policy, we're increasing our interim dividend to 3.3p. We've returned a £100 million in the first half of the year, which takes the total amount we've returned since float to over £1.5 billion. Beyond our KPIs, we've already made significant strategic progress both on the core business and our newer initiatives. This slide gives you some examples of our strategic delivery so far this year. In March, I talked about some of the work we do in the underpinning segment of our strategy being the place consumers turn to and return to first. A number of people were interested in this. So, I thought I'd highlight some of the potentially less visible, but vital strategic work we've completed in the last six months by starting at the bottom of the slide and then working anti-clockwise. We continue to innovate in how we invest in our brand. We've recently won a marketing innovation award for our real time integrated house price placement in location, location, location. Beyond the contextual value of our brand within a property program, it reinforced our unparalleled knowledge of the current market. And talking about house prices, a ground up redesign of our sold property price tool is yielding results with time spent on the tool up nearly 20% since launch. This further stretches our lead as the place home hunters come to, to find out about the UK property market. We're also working hard to increase the number of people who are signed in whilst using the platform. So, far this year, we've increased the number of signed in users by nearly 40%, through a combination of new features such as property lists and enhanced personalization in the search flow. These have had a particularly positive impact with our mobile users, who are typically those who are closest to moving. Being even more well-known for financial matters connected to homes and knowing more home hunters are active in the process positions us very neatly for the work we're doing to make more of the home moving journey possible with Rightmove. And we're making home moving easier by making it more digital. I'm really excited that yesterday, we launched our first version of the Mortgage in Principle flow on Rightmove. It's the first property search integrated tool of its kind in the world. We've got much to learn about this tool and we've got a raft of upgrades planned in the coming months. So, I won't talk about that more today, but I'm sure we'll return to it next time. There's been a lot of delivery in our push to make renting more digital, and I'll cover this later, but our innovation isn't limited to making more of the process more digital. We're still passionate about creating innovative marketing solutions for our core customer base, which deliver unparalleled ROI. I'll talk more about the left hand side of this slide later. But before I give a little more color on our strategic position, I'll hand over to Alison to talk about the numbers in more detail.
Alison Dolan: Thanks, Peter. Good morning, everyone. Relative to the first half of 2021, revenue has increased by 12.8 million or 9%, the overwhelming majority of which is in the agency operating segment. Overall, estate agency growth of 12.6 million was marked by strong ARPA growth, driven by product purchase and package upgrades. Customer numbers have been a slight headwind for revenue growth, particularly in New Homes. So, in the chart on the right here, we have separated the ARPA and customer number effects in order to show the impact of both on revenues. Peter will talk in some more detail about the drivers of customer numbers a bit later. NEW HOMES revenues continue to reflect the challenges of a forward sold market, where developers are still selling off plan and therefore have less of a need to market new properties. Nonetheless, even with these market conditions, we saw revenue growth of 1.7 million from increased product take up by developers. The impact on revenue of the fall in the number of developments is more pronounced than in the state agency with a drop of 2.3 million in revenues, resulting in a net revenue reduction in New Homes of 0.6 million. In other revenues, growth across commercial real estate, data services, overseas, and third party advertising averaged 18% year-on-year with commercial real estate in particular, up 20% year-on-year. Together, these businesses drove revenue growth of 2.5 million on June 2021. This growth, however, was largely offset by a revenue reduction of 1.7 million in our nascent mortgages business where we chose to move from a fixed fee arrangement with our lending partner and into a commission arrangement, as the commission model has much greater long-term revenue potential, but will have an impact on revenue in the more immediate term. The first six months of 2022 have seen record levels of ARPA growth driven by customer investment in digital products with ARPA increasing by £127 on the first half of 2021 to £1,290. Within that, the growth in agency ARPA was even higher. Agency ARPA increased by £132, which is 12% to £1,262 driven by upgrades to our premium optimizer 2020 package, other product purchases, and the pricing actions we took both during the half and in the second half of 2021. Roughly one-third of the revenue uplift came through pricing in this period, with two-thirds coming from the combination of product purchase and package upgrades. In New Homes, and particularly pleasing in-light of the conditions in the New Homes sector, ARPA increased by £117 to £1,446, up 9% on June 2021, again driven by increased uptake of digital products.  The extent of the ARPA growth in this first half gives us real momentum for revenue growth for the year, although the comparison to the prior year's first half is slightly flattered by the fact that this year, we carried out the majority of our pricing actions in the first half of the year, leaving less scope for pricing led ARPA growth in H2. You may recall, I spoke in March about the extent of ARPA growth in the second half of 2021. In this current year, we expect second half growth to more resemble the profile of pre-pandemic years. For the full-year, therefore, we expect the quantum of year-on-year growth to be slightly lower than for the first half, although still likely to exceed our previous guidance of £95 to £105 of annual growth. The charts here show the split between products and pricing as drivers of ARPA growth across both Agency and New Homes in the period. The extent to which product growth has contributed to ARPA in Agency is particularly exciting, reinforcing as it does the value that Agency in our digital products. As I've spoken about before, product revenue is sticky as the majority of agents retain our digital products once they start to use them and experience their effectiveness. And even more noteworthy is the fact that growth has taken place across products at all stages of the marketing funnel. Top of the funnel branding products such as featured agent, local homepage, and Sold by Me remain our strongest selling products, and these branding products now account for over 50% of agent spend on digital products. Sold by Me, which is exclusive to the optimizer package was a key driver of agent upgrades to optimizer 2020 both this year and last. Vendor lead generation products such as Local Valuation Alert and Rightmove Discover also increased strongly, growing by 47% year-on-year. In a stock constrained market, this makes sense as agents compete hard in order to win new mandates and are prepared to invest in digital products that help them to do that. As I mentioned in the previous slide, pricing has been less of an overall driver in Agency ARPA growth this year. About a third of independent agents will receive a price increase this year and roughly 75% of those are already done with the remaining 25% to come in November. The average uplift was about 9% although a number of agents have taken a package upgrade in lieu of a price increase, and this is reflected in the split between product and pricing. In New Homes, pricing played more of a part in ARPA growth than it did in the state agency. Although the two new products, Advanced Developer Listing and Native Search Adverts, together drove over half of this ARPA growth, and we are particularly excited about the level of interest in these new products. Overall, the proportion of revenue attributable to products rather than to core listings is now just over 60%, the highest that it has been. This figure includes the discretionary purchase of products beyond those in an agent subscription package. And this overspend on product has increased by about 10% on last year, again, reinforcing the value that agents see in our products. Cost inflation on last year has been relatively limited. From the chart, you can see that costs have increased by about £5 million on the first half of 2021, but have actually fallen relative to costs in the second half. This reflects the fact that the majority of the increase is in headcount costs and that the majority of that increase took place in the second half of last year. Of this £5 million increase, £3.9 million is due to an increase in people costs, which now accounts for 23.3 million of total costs of 40 million, and is due to a mix of new heads and salary increases. Average headcount is up about 10% on the first half of 2021, which drove 1.7 million of the £3.9 million increase, and the uplift in average salaries and associated costs has accounted for a further 1.1 million. Headcount costs now represent about 60% of our total costs, which is up about 4 percentage points on last year. Marketing costs in the first half are entirely consistent with a typical year for Rightmove marketing spend, which is generally about £15 million a year and tends to be slightly H2 weighted. First half costs this year were 6.8 million. The movements in other cost items are a slight increase in hosting at other tech costs, but these have been offset by ongoing savings from staff continuing to work from home about three days each week. Costs overall are consistent with the guidance we provided in March at 25% of revenues and margin therefore remains at 75%. We expect full-year costs to mirror a normal year's cost profile, which is typically slightly more weighted to the second half than to the first. So, we will see some further cost growth in H2 as we continue to recruit into both product development and sales teams. Overall, however, we continue to expect the margin to remain consistent with March's guidance at 74% to 75%. Operational cash generation remained strong at 101% of operating profit. Although absolute cash generation is up about 6% on the comparative period, cash conversion is down from the prior year's 105%, which represents a return to more normal levels having been slightly inflated during the pandemic as a number of payments, VAT in particular, were delayed. All of the cash generated in the half was returned to shareholders with 60 million returned by the share buyback program and 40.3 million for the final 2021 dividend, which was paid in May. Other cash largely represents the purchase of intangible assets, notably our new ERP system and some mortgage IP, which together amounted to about 1.1 million, lease payments of 1.3 million, and other equipment purchases. We ended the period with 44 million of surplus cash and aim to continue to manage the balance sheet cash position to broadly this level for the remainder of the year. As Peter mentioned earlier, we are also announcing a 2022 interim dividend of 3.3p, which will amount to about £29 million and will be paid in October. We reiterate our policy of delivering dividend growth in-line with underlying EPS growth. Having paused our share buyback program for the closed period in July, we will resume it in August, and our policy of returning substantially all cash to shareholders post organic investment remains unchanged, as does the allocation within that of broadly one-thirds dividend, two-thirds buyback. Consistent with the way in which we reported last year's results, we have made an adjustment to operating profit in order to increase the transparency of the underlying business performance. So, we have excluded the cost of share based payments, which are non-operational and which amounted to 1.1 million in the first half. Once they have been excluded, underlying operating profit amounted to 122.4 million. To provide a true comparison with 2021's first half results, we have also excluded from the comparable period the release of the £2.4 million contingent consideration in April 2021. On that basis, underlying operating profit has grown by 7% on the prior period. The effective corporation tax rate for the period was 18.8%, slightly below the standard UK rate of corporation tax of 19%, mainly as a result of the impact of super deductions applied to capital expenditure in the year. Basic underlying earnings per share increased from 11p to 11.8p, an increase of 7% on June 2021. That's it from me. I'll now hand you back to Peter to go through the strategic update.
Peter Brooks-Johnson: Thank you, Alison. I'll start off by briefly covering what's happening in the property market. The top chart shows our proprietary leading measures of demand in the market and the number of sales being agreed. To make comparisons simpler, I've indexed both to July 2019. It's worth noting that the demand line is a good predict for the number of sales being agreed with a lead time of about five weeks. And typically sales agreed is about 6 months to 9 months before the transactions are logged in the land registry. The number of active market participants is well above 2019. Given that available stock is only around half that of, it's not surprising that the number of sales being agreed isn't at the same heights, but it is still similar to the level of 2019. Of the first half of the year, transactions are up around 8% on [2019] [ph], so I think it's reasonable that the range of [likely] [ph] transactions this year will be around 1.2 million to 1.3 million. In other words, slightly better than the years immediately pre-pandemic. Given the busy market for the last nine months or so, most agents have healthy cash flow and looking forward, have healthy pipelines of future revenue in deals already agreed. It's positive that the number of new listings is increasing. We're nearly adding properties at the pre-pandemic rate, but we've got a long way to go before the available stock returns to those more normal levels. So, to look forward using our data, the chart at the bottom zooms in on the last couple of months. Because this is daily data, you can see the impact of the bank holiday weekend. You might be surprised that there's no real impact on deals being agreed around the last interest rate rise on the 16 of June, and the impact of cost – the cost of living rise is at most marginal.  And [indiscernible] the other day, there's definitely been a little more normality in the market. We're down to 20 viewings per property as opposed to 30. For context, that compares to a more usual 8 to 10. To temper this optimism, we have seen the rate of sales agreed falling through increase a little in July. It's not material, but it's something to watch. I think it's worth reiterating that sole subject to contract is a 6 to 9 month leading indicator. Of course, significant changes in the economy or how well off people feel might lead to a significant increase in the number of fall throughs at any point. But this data, suggests that the most likely path for the end of the year is a continuation of transactions around about 2019 levels. Any prediction on the housing market is fraught with difficulty, but Rightmove’s only connected to the market at the very extremes, and I see nothing to suggest we're at one of those extremes. When trying to explain this slightly counter headline data, it's worth remembering the build-up in demand for property really started in early 2019 with people putting their moves off in light of Brexit uncertainty, and then was supercharged by many people reviewing their plans in the wake of COVID and lockdown. In addition to that, many people have saved more of the deposit through lockdown and there is reduced spend on commuting. I think that this following data on mortgage affordability is also an interesting lens. Firstly, it's worth stressing that these numbers are all averages with all the inherent inaccuracies, which averaging brings. It is, however, illuminating. The orange line takes the average salary since 2014 and applies a 4.5x salary multiple to give a sense of the property a single first time buyer could afford. The [TL line] [ph] is the same, but for two first time buyers borrowing together, and the gray line is the average price of a first time buyer home. For the average first time buyer borrowing a loan, the average first time buyer property has been out of reach since well before 2014 and the gap has only widened. However, for two people borrowing together, the headroom between their nominal affordability has got a little larger. To be clear, I'm not suggesting that means first time buyer properties are more affordable, nor that they're affordable everywhere, but at in average level, it's certainly no worse than 2014. And 2014 is a key date as that's when the mortgage market review was implemented. Amongst other things, the mortgage market review introduced explicit guidance from the Bank of England that borrowers should be stress tested at the standard variable rate plus 3%. From the first of August, the Bank of England have removed this guidance with the minimum stress level being standard variable rate plus 1%. I'm sure that the level of stress test applied will vary from lender to lender, and will become a point of competitive difference, but it's possible that for some borrowers, this change will undo the impact of recent interest rate rises from their ability to get a mortgage. It's also worth noting that currently many lenders are offering broadly similar rates for two or five year fixed mortgages, suggesting the borrowers can opt to ensure things don't get less affordable because of interest rates. In talking to our large agents recently, they aren't seeing mortgage availabilities restricting their ability to sell properties. Given the current trajectory of interest rates, I think the [rises made cool] [ph] house price inflation, but they don't look to be a looming problem for our customer. So, turning to Rightmove, I'll look at each of the following in turn. Our custom numbers, our lead with Home Hunters, and package and product sales. I'll then wrap up by looking at some of the innovation we're delivering to digitize more of the exaction. So, starting with our New Homes customer numbers. Surprisingly, given the continuing demand and as you will have heard many times, developers are still forward sold well into next year. The orange line is the average number of house build starts on a rolling 12-month basis. We're now above the 2017, 2018 levels. As you can see from the bar chart, the rate of fall in development numbers listing on the platform has slowed in the last six months as those starts begin to feed through. On one hand, we need to be cautious as inflationary pressures on materials and labor are starting to impact some smaller developers, but on a more optimistic tone from our perspective, I think a return to more normal demand levels coupled with the increased rate of units reaching the market will see our development numbers broadly stable for the rest of this year. And to confirm, the number of developer businesses advertising with us remains unchanged. Turning to estate agents, demonstrating the underlying value of our proposition to agents in both slower and stronger markets, our retention rate is again the highest it's ever been at 95%. The number of estate agents advertising with us has increased marginally. However, as I mentioned earlier, this hides the underlying trend. The number of agents who do sales has increased by 2% over the last six months, but that's been offset in a reduction in the number of agents who only do lettings. In fact, the net number of new sales agents is the highest in any half year since June 2016, but I don't want to get carried away as I think the low stop difficulties for agents who only do lettings will continue, and they also face stiff competition from the well-funded agents who do both sales and lettings. So, I expect the number of lettings only agents to continue to reduce. I think the rate of new sales agents formation will slow again in the second half as quite reasonably some people will want to take a moment to assess the state of the market. Therefore, it's reasonable to expect our number of branches to remain stable in the second half. So, moving on to our lead with Home Hunters, which drives all the value we deliver. I don't want to spend much time here as I think you're all familiar with the scale of Rightmove’s lead with consumers. Perhaps there are just a few things to point out. Firstly, looking at the Comscore chart on the bottom right, I mentioned this time last year that we've been alerted to an upcoming Comscore methodology change. Now, as you can see, that's fed through. None of our other tracking internal or external has moved. So, we're confident this isn't a change in reality. I described earlier we're seeing the market return to more usual levels of activity, hence the reduction in time versus the stamp duty fueled half one last year. The traffic increase versus the first half of 2019 is still remarkable. I think a reasonable proportion of that is here to stay. And finally, you may be surprised that given a more normal market that leads have increased a further 12% over last year. This is mainly being driven by the tight lettings market. As choice reduces, each tenant is sending more leads to ensure that they can find somewhere to live. Before I get into specifics, I thought it useful to remind you of the frame we use to think about how we translate the reach with consumers into revenue growth. We still see the opportunity in helping agents and developers get buyers for properties, the core property listing as an opportunity. For agents, this is where our like-for-like pricing actions happen. These tend to be focused on our essential and enhanced customers. And this is where our products for new homes developers fit in, as Alison described earlier. The next segment is where our agency product suite focuses. All our products are designed to help agents find and win vendors. We think there's a lot of headroom in this category as winning vendors is the lifeblood of an agent's business. And Rightmove is still less than half an agent's marketing spend, despite the breadth and depth of value we deliver. The dotted line is very important. We know we can help customers reduce their operating costs with tools services and data. By doing this, we can increase the agent's marketing budget. So, not only can we win more of the pie, we can and are making the pie bigger. On top of that growth, we can see that by digitizing more of the rental and sales transaction, we can add more revenue from new revenue sources. And the second thing about this segment is by making the transaction easier, we can not only increase our revenue, but again, we can help agents be more efficient by removing admin, and we can make our home hunter offer even more compelling. So, that's the framework. And I'd like to update you about the vendor product and how we're digitizing more of the transaction segments. To remind you of two near term agent growth opportunities I laid out in March. Firstly, we can move more customers onto the optimizer package and work with those customers who've taken the package to extend their spend beyond the top of their package. And secondly, we can encourage more of our essential customers onto the package ladder. Taking each of those in turn, as you can see, we've completed our migration of the remaining optimizer 2015 customers onto optimizer 2020. The average ARPA uplift as part of those migrations was around £350 per month. And not only that, we've also grown the total number of optimizer by 5% in the last six months. As a reminder, our packages are actually minimum spend within which customers can choose their own product mix. Customers can also choose to add products to their package as time goes on. As I detailed back in March, a significant part of our growth comes from customers who are already on our top package, optimizer 2020, choosing to buy more products once they've seen the difference those products can make to their business. The chart at the bottom shows the progression of ARPA from all optimizer 2020 customers. The £75 growth in this ARPA in the last six months is testament to the strength of our products and the work our team has done with customers. To continue this path, we're launching a new product exclusively to optimize our customers to help drive growth at the top end of our customer spend. One of the most important reasons a potential vendor chooses an agent to market their property is the so-called instinctive trust. This is very difficult to communicate until recently, this has typically taken place in the home when an agent visits to do a market appraisal. Video is, of course, a natural medium for this source of communication, but until recently, agents hadn't really embraced the idea or any scale. We're now beginning to see an increase in the use of short form video and also the quality of that video. It's no doubt being driven by the much wider spread adoption of short form video across social media, making us all more receptive, and perhaps more discerning. The new Native Search Advert for estate agents is built on the platform we developed for New Homes customers last year, and brings the ability for agents to show video about themselves to the UK's biggest property audience for the first time. Then the product adheres to the principles we talked back in March. It's seamlessly integrated on the page on both desktop and particularly effective on mobile creating a consumer feature they want to engage with and not an advert to be avoided. It uses our first party data to target vendors where they live, not necessarily where they're searching. It's right at the heart of our estate agents' needs communicating who they are and starting to build that instinctive trust with potential vendors. And we've taken care to design the product to allow customers to reuse assets they may already have created for their own websites to reduce the friction in product activation. It works well with static images too. We've just launched this to early adopter customers, and I'm excited to hear the feedback. Moving on to that second near-term opportunity, encouraging more of our essential customers onto the package ladder. Two-thirds of our customers upgrade to the next package on the ladder after investing in product. As you can see from the top left, our single largest group of independent agency customers is the essential base. The chart at the bottom shows which packages customers were on before they upgraded to optimizer 2020 in the first half. Unsurprisingly, given the migration program, most of the upgrades have come from those customers who are on optimizer 2015. However, I've been pleasantly surprised by how our focus on encouraging essential customers to join the package ladder has influenced the number of customers who directly upgrade from essential to optimizer. That's typically around a £550 ARPA upgrade. There have been more than double the number of upgrades from this group over the last six months than in the first half of last year. Well, so I'd love to think this will set the tone for the future. I think that might be a little optimistic. So, we're just experimenting with a new package between essential and enhanced, with the working title of essential extra to encourage more customers who are on essential to take their first step on the ladder. And I'm proud of the innovation delivery efficiency the team are now hitting. We've delivered more new products in the last two years than in the prior decade, but having talked a lot about our innovation, it's important to note that's not the only route to product growth. In total, over half our product revenue growth in the last six months has come from products we haven't changed over that time. The remaining growth is split pretty evenly between those products we've enhanced in the period for example, local valuation alert, and the newer products where we're selling them to a customer for a first time. We create products, which deliver value to customers and deliver for the long-term. Turning to digitizing more of the transaction segment, our efforts to digitize more of the home moving journey are moving at pace. As I mentioned earlier, we've literally just launched the first mortgage in principle, so I'll focus on our work in the rental space. Rental services is exciting because we believe we can make the [tenant] [ph] and experience better and help agents to be more efficient. In other words, bind both sides of our network closer to us. And whilst we're doing this, we believe we can build a £20 million to £25 million profit business for Rightmove. I'll start with the numbers and then describe some of the functionality which will underpin those numbers and the further strengthening of our network. We make revenue in three ways from rental services. The agent pays for the tenant reference itself. If we've done the reference, we can then help the agent sell the landlord protection insurance, and knowing the reference has been passed is a critical trigger point where we can then help the tenant with their contents TV and broadband. So, there are two key levers to achieving our financial goals in rental services. Most importantly, we need to increase the number of references we deliver. These both generate revenue and also create the opportunity for the second two revenue lines. And secondly, improving the attach rate of those revenue lines for the products we sell to landlord and tenants. You may remember we acquired Van Mildert referencing in October 2019. Our first focus was to take what was quite a small business and bring it up to the standard we and you would expect. This process was interrupted by the pandemic, but was completed when we rebranded Van Mildert Rightmove land and tenant services last summer. Since then, we've been focused on increasing our market share of references with that secondary focus on increasing the attach rate of other services. By combining our sales skills and the trust agents put in us, you can see we're starting to make a difference to our market penetration and we've got some significant product innovation to come. I'll talk about the Tenancy Manager workflow system in a moment. In addition to that, we've just launched our first open banking enhanced reference, which achieves a number of things. It reduces the time taken for a tenant to fill in the form by about a third. It speeds up a reference turnaround time by about 20% and it's less manual effort and therefore less cost to us too. In addition to this, we're intending to launch an integrated lead pre-qualification in the second half of this year. This is based on our experience with the tenant passport and appointment booking. It'll help agents cope with that high volume of leads and reduce wasted time for tenants. The integrated pre-qualification will only be available to referencing customers, and of course, only we can integrate it with the biggest source of leads in the market. Whilst it's our second priority, you can see we're making progress increasing the attach rate on additional services. I wouldn't want you to think that this will grow exponentially in the next six months, but hopefully you can see we're making worthwhile progress in this business and it's got significant potential. Creating a more integrated process will increase the attractiveness of the Rightmove reference. Beyond that, we believe because of our unique position in the market with more people searching for rental properties than anyone else, we're the only company to be able truly change the rental process for the better. The first phase of our digital tenancy workflow launched at the end of the first half, this creates a streamlined flow from lead to keys. Tenants can now search, view, secure, and contract on a property entirely from their mobile phone. And for an agent, the whole process can be managed via a workflow within Rightmove Plus, which sends some alerts when the next step is ready for action. We estimate that many average size agents currently have around half an FTE just managing this part of the process. We've got many enhancement planned for the workflow in the second half of the year. We've certainly got much to do and much ambition, but bringing it back to 2022, let's wrap up with the outlook. The property market in the first half of 2022 has cooled slightly from the frenetic pace of 2021, but still ahead of 2019. Despite growing economic uncertainty for the last few months, the market has shown little sign of deceleration in the last eight weeks. We've seen record ARPA growth in the first half in part driven by the innovation we've delivered over the last two years. In 2022, Rightmove has returned to a more normal pattern of package upgrades and price reviews with the majority of the activity being in the first half. Therefore, we expect ARPA growth in the second half of the year to follow a more normal pattern with a healthy, but smaller ARPA growth than we saw in the second half of last year. I expect Agency branch numbers to be broadly stable in the second half. The slightly cooler market may improve the availability of New Homes developments by the end of the year, so development numbers are also expected to be broadly similar at the end of the year. Looking forward, we're mindful of economic uncertainty. However, Rightmove is only impacted by the extremes of the market. The strong pipeline of product delivery planned in the second half, our culture of continuous innovation, and our commitment to continue to make home moving more digital for our customers and consumers gives us confidence in delivering for the full-year and beyond.